Operator: Good afternoon. My name is Misty, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Hain Celestial Third Quarter Fiscal Year 2012 Conference Call. [Operator Instructions] Thank you. Ms. Mary Anthes, Senior Vice President, Corporate Relations, you may begin your conference, ma'am. 
Mary Anthes: Thank you, Misty. Good afternoon. Thank you all for joining us today and welcome to the review of our Third Quarter Fiscal Year 2012 results. We have several members of our management team here today to discuss the results: Irwin Simon, President and Chief Executive Officer; Ira Lamel, Executive Vice President and Chief Financial Officer; John Carroll, Executive Vice President and Chief Executive Officer, Hain Celestial United States; and Rob Burnett, Chief Executive Officer, Hain Daniels Group.
 Our discussion today will include forward-looking statements, which are current as of today's date. We do not undertake any obligation to update forward-looking statements, either as a result of new information, future events or otherwise. Our actual results may differ materially from those projected, and some of the factors which may cause results to differ are listed on our publicly-filed documents, including our 2011 Form 10-K filed with the SEC. This conference call is being webcast, and an archive of the webcast will be available on our website at www.hain-celestial.com under Investor Relations.
 [Operator Instructions] Now let me turn the call over to Irwin Simon, our President and Chief Executive Officer. Irwin? 
Irwin Simon: Thank you, Mary, and good afternoon. I hope everybody had an opportunity to see our 2 press releases that we released today, one on our third quarter earnings and the second on an acquisition that we did in Ireland. I'm proud to sit here today and give you our earnings, which is a record for us, our highest sales ever in the history of Hain of 19 years, and our highest earnings. And I'm proud to be sitting here to do this. 
 So our sales for the quarter, including our ICL business, which is our U.K. ready meals, which is complete -- our private label business, was $400.3 million versus $288.3 million a year ago. Without the ICL business, our business was up 31.5%. With the ICL business, our business was up 39%. So it's our first time ever doing over $400 million in sales in the quarter within Hain. 
 Our gross margin for the quarter, 27.5 versus 28.6, and as we talked about it with our U.K. business, our margin's actually, considering commodity costs and everything, have done quite well. And John will take you through how these gross margins are up in his North American business. 
 Our operating income, which gross margin and SG&A translates to, 41.1 on an adjusted basis versus 28.9, up 42% versus a year ago. EBITDA on an adjusted basis, $51 million versus $38.8 million, up 31.3%. Earnings per share adjusted $0.54 versus $0.36, up 50% versus a year ago. And Ira will take you through our share count, where our shares were up versus a year ago.
 So let's talk about the quarter, what happened. Our consumption is strong, and John will take you through consumption, up high single digits. Our overall organic growth is strong, and we're overlapping almost a 13%, 14% organic growth last year this time. So coming off the growth and the comparisons versus last year, and achieving what we had today, is pretty significant. If you come back and look at our inventories, we turned our inventories 6x during the quarter. And let's come back and think, here we are today sitting in May, January, February and March, pretty warm months. And even with how warm it was, we had some significant growth in some of our brands that, whether it was tea or soup, and we'll talk about that, we paid down about $35 million, which our leverage stay [ph] is a little over 2x, which gives us a lot of capacity to do additional acquisitions. We've got lots of power to do it. We've had over 15 brands up double digits, 6 brands that are up high single digits. So a lot of growth going on here. If you come back and look at just Earth's Best with birthrates down, Earth's Best just continues to grow in double digits and a lot of great things, a lot of new products. The Natural Food Show, which was in Anaheim in March, we introduced over 50 new products and just some of the exciting things, some of the Earth's Best pouches, some of the meals for frozen kits, some of the chia stuff, Kombucha, some of the new tea products. And one that I'm really excited about is what we've been able to do on our Personal Care on NSF and reformulated all our ingredients and products, our gluten-free products. And I come back and say this here, genetically-modified ingredients will become a key initiative in regards to a lot of food companies. We're probably 98% there today, the whole gluten-free category, where we have over 400 products. And what do we keep hearing about -- one of the major cause of cancer today is obesity. And obesity and ingredients and additives and stabilizers in processed food. And that's just something that you will not find within Hain. If you look at other consumer packaged goods company, in the last quarter, consumption numbers have been flat, if not down. They have cut back production levels to take inventories out of their system. And that's just because demand is no longer there for conventional foods that do not contain healthy ingredients. 
 Let's look at the rest of the country. And as I said, John will take you through the U.S. in a little while. But if you look at our U.K. business, our Daniels business, and again, look weather there -- affected us a bit. Our chilled dessert business up 23%, our prepared fruit business up 15%. The ready meals, which I'll talk about in a little while, was up 4%. But that is our own private label. Our drinks business was down a bit, and our soup business was down a bit. But basically, that was March with some seasonal weather. And actually, our soup business in the U.K. in the month of April was up 20%. Our meat-free business was up 18%. We've integrated our food-to-go business and our Fakenham business into the Daniels business already. We've taken out about $1 million of cost, and Rob Burnett, who's on the call, has taken over this and we're evaluating it. We're evaluating our food-to-go business, our sandwich business, and Fakenham, we spent a lot of time evaluating that and our Linda McCartney brand was up 27%. We're in the midst of launching fresh, ready-to-eat, meat-free products in the U.K., and we are pretty excited with some potential new wins that we have coming our way in the U.K. market.
 ICL, when we acquired Daniels, the only business within Daniels that didn't have any brand of business was ready-to-eat meals, about $60 million in size, and it was totally own label for retailers. We looked at it. Good sales growth, but just no margin. And we just couldn't add any value, and we got approached by a lot of other strategic buyers to sell this. And with that, it's our intention to sell it, and would like to have it sold by the end of our fiscal year. And it changes the mix of branded versus private label. And another company that's in the private label business will do much better with this than we will. We still can make ready meals in one of our other plants, and we'll look to make ready meals in regards to Linda McCartney and maybe Earth's Best products there, and maybe some other soup products. 
 Cully & Sully, which we announced today, is a fresh, ready-to-eat meal and soup business branded based in our Ireland. It's about a EUR 10 million business with great growth. Two young entrepreneurs started this business a few years ago, similar to the entrepreneurs that started Greek Gods. And we feel there's some great growth of all our products, both Daniels and Hain products, in Ireland, but it gives us an alternative brand in the ready-to-eat soup and meals business in the U.K. And the Cully & Sully management team will help us introduce fresh soups in the U.S. And we're pretty excited about getting fresh soups in the U.S. here sooner than later. 
 So with Cully & Sully and ICL, we'll continue to evaluate the U.K. and see what makes sense. But we're feeling good about where the U.K. market is going, and our opportunities and our relationship with our retailers there. 
 The Canadian market had a great quarter. Sales were up 10% in local currency. Our operating income almost doubled within Canada. Great growth within Sensible Portions, MaraNatha, Greek God's Yogurt was named the #1 Greek yogurt in Canada, and great growth throughout all the chains, whether it was Whole Foods, Loblaw, Costco or Walmart business, so we like what we're seeing in Canada. We've had great success with Europe's Best. We acquired it in October. We were able to secure Metro and just recently picked up Loblaw. So I'm seeing some great success and great growth there. 
 In regards to the protein business, which we own about 49%, pink slime has really helped drive growth within the protein category, and both chicken and turkey. Our overall turkey business, which is our Plainville brand, was up 33.5%, and our FreeBird business up 13%. And EBITDA on that business basically doubled in the quarter, so seeing great success. We're at a capacity straint right now on our FreeBird. We do have plenty capacity on Plainville and we're seeing a lot of opportunities within the turkey category there, so that continues. And with pink slime, I think it helps the overall natural organic category tremendously. So we actually feel good with what's happening there. 
 In regards to Europe and, as we all know, Europe's got some challenges, but considering overall, Europe, we were up 3%. Our nondairy business up 10%, our Lima business was flat, our nondairy Natumi business up 24%. We saw some declines on Terra in Europe, where our Danival business, which we acquired last year, which is mostly sold in the French market, was flat. Our GG business, which we acquired, is based in Norway. We are now doing that ourselves in the U.S. And that's one of the biggest opportunities within GG itself. 
 Our Asia business continues to be strong. Our shipments there were up over 100%. Our shipments to retailers on our joint venture side in Asia were up 176%. We saw a 75% -- sorry, a 35% increase in PARKnSHOP, which is a Hong Kong market. Our Personal Care business, which they're now doing -- we're seeing strong. We're now in 7 Asian countries and moving more and more into other parts of Asia. There's lots of acquisitions out there. There's lots of things we're looking at. There's a lot of good strategic opportunities for us on the acquisition side, and we will continue to pursue what makes sense. But in the meantime, we have a lot of growth within the Hain business today, and we're pretty excited about that. And I'll let you -- I'll turn it over to John, and he'll take you through our U.S. business. 
John Carroll: Thank you, Irwin. Good afternoon. For Hain Celestial U.S., Q3 was a strong quarter with accelerating momentum. We had many highlights in the quarter, starting with our 11% U.S. sales growth. This was 2 percentage points higher than our Q2 sales growth of 9%. It was driven by strong gains across all units, Grocery and Snacks, Personal Care and Celestial Seasonings. We also saw accelerating momentum in our Q3 consumption growth, which was up 9%, or again, 2 percentage points higher than the last quarter's growth. This was driven by gains across the portfolio, including 13 brands with double-digit or high single-digit increases. The difference between our consumption growth of 9% and our sales growth of 11% reflects additional growth from customers where we cannot measure their consumption, i.e. Amazon, Trader Joe's and others like that. Importantly, our U.S. grocery channel consumption was up 9% versus a year ago, marking 7 consecutive quarters of growth in this important channel. Also in Q3, our U.S. gross margin was up 20 bps despite absorbing over 5% in commodity and fuel-driven inflation. We were able to offset this inflation with productivity savings and our July 1 price increase.
 In addition, our Q3 G&A as a percent of sales was down 50 bps, reflecting a sales increase and headcount synergies from consolidating the Sensible Portions business into Melville. And finally, U.S. inventory was down $500,000 versus a year ago and Q2, while supporting the 11% sales growth. This increased U.S. inventory turns by 0.7 of a turn versus a year ago. By contrast, at the same time we were reducing our inventories, increasing turns with growing consumption, 5 U.S. CPG companies announced plans to slow production to realign their inventories with soft consumption. So Hain Celestial U.S. is clearly in a good space.
 Now as I've said before, we continue to be very bullish about our U.S. business. We continue to see strong momentum across the business, and we believe it is sustainable based on the latest metrics from the 4 key factors that I've discussed in previous calls. The first factor is our continued U.S. consumption gain. Q3 was our ninth consecutive quarter of consumption growth, and it's accelerating. Importantly, our 2-year comps are showing double-digit growth. The second key factor is our demonstrated ability to offset input inflation as Hain Celestial U.S. has experienced over $21 million in year-to-date inflation. We have offset this inflation with pricing and productivity. Q3 saw full recognition of our July 1 price increase just as we forecast back in Q1. Additionally, our productivity initiatives have generated over $13 million in year-to-date savings. We had a strong productivity function and a full menu of projects to continue to drive savings in Q4 and FY '13.
 The third reason we feel bullish is our initial results from our U.S. sales force reorganization. Now for the second consecutive quarter, we saw a quantifiable benefit from our U.S. sales reorg. Specifically, our Q3 U.S. Nielsen distribution trends improved 150 basis points from our 52-week trends. This improvement was again across our entire product line, not just our core SKUs. Distribution gains like this will continue to drive future growth by filling in our distribution whitespace. The final reason we are bullish about Hain Celestial is the continued positive response to our innovation. We just introduced 16 new products at Expo West that were very well-received. And here, don't worry, I'm not going to go through each one of them, but I just want to call out 3 hot innovation areas where we are seeing a huge response. 
 Our first area is pouches. On our last call, I told you that our Earth's Best pouches are at a run rate to do $20 million plus in annual sales. At Expo, we introduced 3 new pouch extensions to a very strong reception. We had 2 new Earth's Best pouch lines, including a Greek Yogurt product, and then a new Health Valley fruit yogurt smoothie. The new Health Valley smoothie is targeted to all ages, not just infants and toddlers, and was so well received that 1 of the 2 leading mass merchandisers will be featuring the launch in a national circular in June, which is a first for Hain Celestial. 
 Our second hot innovation area is coconut and chia. Coconut and chia are 2 of the hottest trending ingredients in the U.S. today. Our marketing and sales group saw these trends early, and our coconut and chia-based product sales are up 103% year-to-date versus year ago. Spectrum chia seed is the #1 selling chia in the natural and grocery channels, so we're extending the Spectrum line with a ground chia and a decadent blend chia and a flaxseed mix to further leverage these trends. 
 On coconut, we are introducing a new MaraNatha coconut butter, a Spectrum coconut oil and an Almond Dream coconut yogurt to garner more coconut sales. So we think we've got coconut and chia pretty well covered. 
 Our final area of hot innovation is probably the most unlikely, but it's Celestial Seasonings' Sleepytime brand. Sleepytime sales are up almost 20% year-to-date despite being almost a 40-year-old brand. It may be 40, but it is still very, very vibrant. This is evidenced by our original Sleepytime SKU, which is still the #1 herbal tea SKU in the category, as well as by recent years' successful introductions like Sleepytime Vanilla and our Sleepytime wellness products. Now at Expo, we built on our Sleepytime momentum by successfully introducing our latest Sleepytime new products, including Sleepytime Peach, Sleepytime Kids and our new Sleepytime K-Cup. Sleepytime is a great example of using innovation to strengthen and extend a valuable brand, and drive incremental sales. 
 So just based on these 3 hot innovation areas, and believe me, there are more than 3, but I'm not going to take you through all of them, and our strong year-to-date new product sales, we feel bullish about our continued consumption growth from innovation.
 So in summary, Q3's strong results reflected accelerated momentum for Hain Celestial U.S., highlighted by 11% top line growth, 9% consumption gain, gross margin improvement despite absorbing over 5% inflation, lower G&A and double-digit income growth. And we continue to be bullish about our U.S. prospects, given our strong consumption trends, our productivity savings, our initial results from the U.S. sales reorg and the very strong response to our innovation. With that, I'll turn the call over to Ira Lamel. 
Ira Lamel: Thanks, John. Good afternoon, everybody. As we said in our press release, we had a record quarter with our results, the highest in the company's history. Net income in the third quarter this year was a record $24.1 million compared to $16.8 million in last year's quarter. We earned a record $0.52 per diluted share on a GAAP basis this year compared to $0.38 per diluted share in last year's third quarter. Adjusted net income was $24.9 million compared to $16.2 million, improving by 53.6%. Adjusted earnings were $0.54 per diluted share compared to $0.36 per share in last year's quarter, improving by 50%. Our adjustments to net earnings from continuing operations include acquisition-related expenses of $515,000 and discrete tax adjustments for a reduction in tax reserves due to a lapse in the statute of limitations, offset by the tax effect of nondeductible acquisition-related expenses, which had a net effect of $358,000. The net adjustments total $835,000 or $0.02 per diluted share net. Net earnings from discontinued operations had no impact on earnings per share. We had 45,989,000 diluted shares outstanding in this year's quarter, up almost 2% over last year's shares in the third quarter. This increase in shares had a $0.02 impact on our per share earnings.
 Net sales from continuing operations in the third quarter were $379.4 million, an increase of 31.5% compared to $288.4 million last year. Sales from continuing operations include our recent acquisitions of Daniels Group and Europe's Best for the full quarter. Sales for the private label chilled ready meals unit amounting to $21 million in the quarter are not included in the reported net sales of $379 million. Considering the reclassification of sales, our total sales, as Irwin mentioned, came in within our expectations when we announced to you what our sales would be when we acquired Daniels and looked ahead at that time. Ready meals sales reclassified to discontinued operations totaled $37 million from the date of acquisition at the end of October through March 31. 
 Gross profit in the third quarter was 27.5% of net sales, while selling, general and administrative expenses were 16.7% of net sales. As a result, our adjusted operating margin, which excludes acquisition-related items, improved 80 basis points compared to the prior year. Input cost inflation amounted to 5.3% in the third quarter this year, measured against the third quarter last year. And that inflation was offset by the impact of price actions we effected at the beginning of the fiscal year, productivity improvements and a stronger mix of sales at our pre-acquisition units.
 As expected, we are seeing leverage in our SG&A rate. In the third quarter this year, SG&A, x acquisition-related expenses and integration charges, was 16.7% of net sales versus 18.6% in last year's third quarter. This 190 basis points improvement in SG&A comes from a combination of the lower SG&A rates at our recent acquisitions of both Daniels and Europe's Best, the integration of the Sensible Portions operation when we closed its separate back-office in the first quarter this year and consolidated those operations into our Melville offices, the integration of certain functions in the U.K. into the Daniels operation, and our continued focus on leveraging our existing G&A base across our growth in sales. Operating income for the quarter was $40.6 million, or 10.7% of net sales on a GAAP basis, compared to $30.8 million last year. On an adjusted basis, operating income was $41.1 million this year, increasing 42% from $29 million last year. Adjusted operating margin was 10.85% this year versus 10.05% last year.
 Our effective income tax rate, including the discrete items disclosed, was 34% of pretax income for the third quarter this year compared to 39.6% last year. The effective income tax rate this quarter was lower than the comparable period of the prior year as a result of the acquisition of Daniels and the resulting income in a lower tax rate jurisdiction. Additionally, the company recorded discrete adjustments to recognize a decrease in our tax liabilities of $800,000 as a result of an expiration of the statute of limitations on a particular tax year. That benefit was offset by $1.2 million of unfavorable impact on our tax provision, resulting from nondeductible transaction costs incurred when we acquired Daniels. Depreciation and amortization in this year's quarter was $7.8 million as compared to $5.9 million last year, with the increase coming principally from this year's acquisitions. Stock compensation in the quarter was $2.6 million as compared to $3.4 million last year.
 Adjusted EBITDA for the quarter was $51.6 million this year versus $38.8 million in last year's third quarter. We continue to operate with a very strong balance sheet. Our working capital was $261.5 million, giving us a current ratio of 2.2:1 at March 31. Our stockholders' equity was $942.5 million. Our debt as a percentage of equity is at 45.7%, and debt to total capitalization is now at 31.4%. Total debt at the end of the quarter was $430.7 million, with $150 million of our debt carrying interest at fixed-rate and the remainder at floating rates. At the time of our acquisition of Daniels, we drew down $235 million of floating rate debt under our credit facility, bringing our total credit facility borrowings to $315 million at that time. We have paid down $35 million of that credit facility by March 31. That's $35 million in 5 months, bringing the total outstanding amount under the credit facility to $280 million. With cash of $41 million at quarter end, March 31, our net borrowings under the credit facility is only $239 million. There were no additional borrowings necessary for our acquisition of Cully & Sully. We continue to focus our attention on improving working capital turnover and generating improved cash flows. For the trailing 12 months through March 31, operating free cash flow was $79.3 million this year versus $61 million for the prior year's like 12-month period. Days sales outstanding was 47 days. Our consolidated inventory days are at 61, and therefore, turning at 6x. And our payables are 43 days. As a result, our cash conversion is 66 days, a 12-day decrease as compared to June 30 a year ago. Capital expenditures amounted to $6.1 million in the quarter.
 We are updating our sales guidance for the full fiscal year 2012, which has been updated for our decision to exit the private label chilled ready meals unit at Daniels. We expect our net sales now to be in the range of $1,400,000,000 to $1,410,000,000. That will be sales from continuing operations without any sales that we continue to experience from the ready meals business, which will be classified within discontinued operations. We are also raising our guidance for full fiscal year earnings per diluted share from $1.76 per share to $1.80 per share. At this point, we'll open it up for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Jessica Schmidt with JPMorgan. 
Jessica Schmidt: So given the level of interest in organic and natural products that we're seeing right now, especially from the more mainstream retailers, it looks like there's a lot more opportunity for you to expand distribution into these channels. Can you just talk a little bit about how maybe you're better positioned than some of your competitors to do this? And as a follow-up to that, how will diversifying your channel mix impact your gross margin structure, if at all? 
Irwin Simon: Well, I come back on one thing, Jessica. Number one, being one of the largest, if not the largest natural organic food and personal care company in the U.S. and not in the world, with the depth and breadth of products that we have, we ought to have #1 and #2 brands in about 15, 16 categories. So walking in today to any retailer and being the category manager, and being able to be that one-stop shop, allows us, I think, to have a leg up on most other companies that are in the category. Number two is you heard John talk about, from his standpoint, the infrastructure and sales organization that they put in place in North America. Very similar in Canada with Beena Goldenberg and her group. Now with the acquisition of Daniels, we have scale and we're working on some things in Europe. So with infrastructure and sales, we're walking into these accounts today, and we have the ability to be their leader and show them what's going on, and show them why it's important to be in the category. And in regards to gross margin, I come back and say this here, as sales increase with productivity, there's a lot of efficiency in shipping. You saw us drop FSIs this quarter that were dropped among all classes of trade. And I think we're continuously looking for our gross margin to continuously improve. And we're going to look to spend back on our brands because we think that will drive growth. 
Operator: Your next question comes from the line of Scott Mushkin with Jefferies & Co. 
Scott Mushkin: North American operations, John and Irwin and teams seem to be really hitting on all cylinders. But we haven't seen an acquisition, I think, in a while. And I was wondering if this is on purpose or has it just not been the right asset? And then I have a follow-up. 
Irwin Simon: So come back, Scott, listen. You heard what I said before. We had 15 brands up over 10%. We had another 5 or 6 up mid- to high-single digits. I mean, listen, we've got the secret sauce on the shelf today, and we have a lot of great products, a lot of great categories. We will buy if it's right for us, strategic, and we can really do something with it. We're not just going to do an acquisition for the sake of an acquisition. And I think there's a lot of growth in our current product lines and our brands. John, do you want to add... 
John Carroll: Yes, the only other comment I'd make is there's also growth for us available from the acquisitions we've made in other parts of the world. And we've talked a lot about launching the new Covent Garden soup into the U.S., and we're pursuing that, as well as the -- some of the hot refrigerated desserts, hot eating desserts. So I think there's -- we'll find the acquisitions domestically, but also, we can leverage the ones we've done in other parts of the world. 
Irwin Simon: Same with Europe's Best. I mean, good introduction, that's only in Canada today. So we're going to look how we become global brands, Scott, and what else we can do with acquisitions that we do in Europe or U.K. or Canada and bring here. But I will say this here, you heard what I said before, where our leverage is, we have tremendous opportunity and a tremendous balance sheet to go out there and do the right acquisition. 
Scott Mushkin: And then my follow-up question has to do with kind of you guys' bullishness about your current portfolio and your current business, because I actually feel the exact same way. If I look at -- when I was out at Expo West, I mean I looked at them like eating like an imagined soup with the Tetra Pak that you guys are rolling out versus the can. It seems to me that the Street's bullish too. I mean, how do you feel about where numbers have gone for '13? And is all this bullishness about the business and things going forward? Or are we getting too carried away or -- let me just leave it there. 
Irwin Simon: So I like your words stupendous, Scott, but listen. At the end of the day, we never want to get ahead of ourselves, and arrogance and business just do not connect, okay? And if you come back and look at other conventional companies, they're doing a great job on their brands, but they're not getting growth, okay? The consumer speaks with their pocketbook. The consumer goes out and spends. And we saw a few weeks ago, one of the biggest preventions towards cancer is obesity. And we continuously just hear pink slime and GMOs and BPA. So the consumer will continue to buy healthier products. You saw our Whole Foods numbers yesterday and the growth going on within Whole Foods as the consumers are walking in and knowing they're going to get healthy products within that store. We know what we're seeing across growth in other grocery retailers. You heard John talk about his consumption numbers, and we have not seen these consumption numbers across supermarkets before. So Scott, to step back, I've said this before, we're in early innings. We have great brands, a perfect example is Earth's Best baby food. Baby rates are down, the overall baby food category is down and we're growing. So it has to be the category and the demand what consumers want. And I think there is a lot of leg room there to grow. The other thing is within Hain today, and we've seen a lot of companies that are a one-product company, we're not a one-product company. And we're going to have quarters where there are up and down in products, and a perfect example is this past winter. It was a damn warm winter and we saw -- still saw great growth on our tea business. Our soup business was up over 12%, our tea business was up 11%, and they're good growth numbers with a real warm winter out there. So the consumer is the one that's speaking. 
Scott Mushkin: Have you ever felt like the opportunities for the company were better than now? Or is that not the right way to put it? 
Irwin Simon: Well, I'll say this here, Scott. When you put up the best quarter ever in the history of the company, both on top line and bottom line, as a team, we feel good, but we feel there's a lot of other great quarters in front of us to do the same. 
Operator: Your next question comes from the line of Ed Aaron with RBC Capital Markets. 
Edward Aaron: Actually, just to start with maybe a clarification on the top line. It looks like the revision is maybe a little bit more than what I would -- than I think -- that it looks like the divestiture would account for. Is that the only thing involved in the sales change? Or are there any assumptions to the underlying business in addition to that? 
Ira Lamel: No, the only other addition to the sales line is the small amount we're going to get out of Cully & Sully. I don't think we should expect more than a couple of million in the quarter. We're only going to have 2 months of their sales. But that's it. We pulled out of the ready meals business, and of course, looked at what we think our growth is for the quarter with the new acquisition. 
Irwin Simon: And don't forget, Ed, this being our smallest quarter within our 4 quarters. 
Edward Aaron: Right. Okay. And then just, I guess, kind of bigger question I wanted to maybe ask you. I mean the group has been just pretty well bid of late and kind of valuations has expanded. And for your business, one of the nice offsets in a low evaluation environment is that you have more M&A opportunities. And I just -- I'm sure you're looking at a lot of different deals all the time. And I'm just wondering if you think that there are acquisition candidates out there that make sense at the right price. Or if in the world of M&A, if the expectations have just gotten too high? 
Irwin Simon: Well, I think there's 2 things. I think there's a time you create and grow within. If you come back and look at our Greek Gods Yogurt, and we've taken that into multiple categories and we'll do that. And when we bought that, it was a $12 million business, and today, between U.S., Canada and ultimately going into U.K., that's on a run rate at least to the $100 million and then some. So we're going to buy where it makes sense. And I think as you come back and look at a recent natural organic food company that just went public and the multiple they are, I mean, we will not go out and pay those multiples for companies, and we'll not go out and do deals like that. But Cully & Sully is a prime example. Two entrepreneurs, it helps us get into Ireland. It's ready-to-eat soup, fresh soups, what the consumer wants today, fresh meals, what the consumer wants. It's branded. It has the opportunity to expand through Europe, U.K., and has the opportunity, along with new Covent Garden, to come here. So we love small deals, $20 million, $30 million, $40 million, $50 million, that we really can put our infrastructure, our creativity, our distribution behind, Ed, and take them to a whole other level. I mean, same with Sensible Portions. Since we acquired that, we've doubled that and then some. Our Personal Care products, and some of the things that we're seeing with Daniels are already happening within the U.K. So that's the type of deals we like. And we've looked at some major deals at major size that just didn't fit, and concern with ingredients, concern with packaging, and concern where we could take it to. So I'd rather pioneer a lot what we have today than go out and buy something that's just going to stifle our growth. 
Operator: Your next question comes from the line of Amit Sharma with BMO Capital Markets. 
Amit Sharma: First of all, can you tell us what Daniel contribution was during the quarter x the private label part? 
Irwin Simon: From a sales... 
Amit Sharma: Yes. 
Irwin Simon: What the sales were, Daniels contribution, I'm going to say approximately about $50 million. 
Ira Lamel: Sales-wise. Hold on, we're going to get that  [indiscernible] somewhere specific. 
Amit Sharma: And the other thing is, when you made the acquisition, based on our model, we were looking for sort of lower double-digit EBITDA margin. Now that this private label, low margin private label business goes away, how does it impact margin from the Daniel business? 
John Carroll: It's -- the private label business had very low margins, so it's certainly going to help margins going forward. You heard or you saw in the press release, we had about $21 million of sales from that business into the discontinued operations for the quarter. That is about its run rate through the year. And it operates at a gross margin that's under double-digits. So it will be a help to our margins going forward. 
Irwin Simon: Just on your question before. It was about $55 million that came from Daniels, excluding ICL. And that's the reason why we decided -- I mean, as we owned ICL and we looked in there, and we have 2 major customers in the U.K., and we looked at when to get pricing with commodity costs, and it's kind of like you got no brand. If you don't match our price, somebody else will. And that's what kind of made the decision that, hey, look what this would do for our margins. This is ultimately what could we add in value, and there's a lot of good private label ready-to-eat meals manufacturers in the U.K. that could bring a lot of innovation. And that was our reason for deciding to divest it. And we've been approached by interested parties. 
Amit Sharma: Great. And switching on to North America, U.S., John, on your report. I mean, we've talked about distribution gains and how opportunity is there to gain distribution. But I want to focus on within -- once you get into the store, are we seeing organic and natural getting more assimilated into mainstream aisles or is it still in the corner of the store where you have all the products out there? So if you think like that, I mean, the fittening [ph] of assimilation in mainstream in the early stages? 
John Carroll: Amit, this is John. You know what, we've talked about this before. It depends on the customer. There are some customers that are doing an unbelievable job with a dedicated natural set. I mean I don't know if anybody's doing much better than Kroger is doing with a dedicated natural set. There are other guys who are doing a nice job with it integrated into their conventional set. I think we'll see more movement towards integration in the conventional set. And that's why it's important that you have a #1 or #2 brand in each category, because there, you'll have enough movement to compete in a conventional set. 
Operator: Your next question comes from the line of Greg Badishkanian with Citi. 
Alvin Concepcion: This is actually Alvin Concepcion in for Greg. You mentioned the consumption trends were pretty strong despite the warm winter weather. How much do you think winter weather impacted consumption? 
Irwin Simon: Listen, I think absolutely. I mean you've seen other soup companies, where their consumption numbers were down into the negative numbers. But cold winters, snowy winters and good flu seasons help sales. So I don't have an exact number to put on it, but we've seen in other years when it's been cold up there and last year, and we're climbing over some pretty good consumption growth last year, where it's worth a few points at least. 
John Carroll: It also points out a way that Hain's differentiated from the conventional CPG companies because we still have -- no matter what the quarter is, we still have distribution whitespace that we can fill. And that gives you year-on-year comparability benefit that some of the conventional guys can't have because their distribution is basically everywhere. 
Irwin Simon: And again, I mean, you're not only drinking tea because it's cold out or you're not only eating soup, soup is for cooking, soup is an appetizer, soup is a meal. So you're ultimately using it for multiple occasions. 
Alvin Concepcion: So did you see any changes in that growth rate into April? And then secondly, I apologize if I missed this, but what was your organic sales growth in the quarter? 
Ira Lamel: Well, you can figure out our organic sales growth by just taking out Daniels. But if you come back and look at April, April continued to be strong. In regards to our soup business, in the U.K., our soup business in the U.K. was up 20%. It was much colder in the U.K. in April than it was in March. So you're seeing high single-digit growth in the month of April, low double-digit. 
Alvin Concepcion: Great. And then I just wonder if you could talk about the long-term opportunity in fresh soups in the U.S. with Cully & Sully. 
John Carroll: Well, with new Covent Gardens and Cully & Sully, we've got a lot masters or soup brewers to help us here. We think there's a big opportunity. One of the things we want to make sure is we have the proper shelf life, the proper production. And what we're trying to do is something different, so we're excited about the opportunity for fresh, ready-to-eat soups here in the U.S. and Canada. 
Operator: Your next question comes from the line of Andrew Wolf with BB&T Capital Markets. 
Andrew Wolf: Just wanted to check some math, I guess, with Ira. On the guidance, the sales guidance, if you were to add back the $80 million, $85 million or so for the divested business in the U.K., it looks like you get to, on a pro forma basis, 1.48 to 1.49. And I looked at your old guidance, so you basically, if I'm understanding it right, you're taking it up on the old basis, which included this business, to the high-end and a little above the prior guidance on sales. Just checking that out. And secondly, if that's accurate, and you're taking up earnings per share guidance, at the midpoint, maybe $0.10, what accounts for a disproportionate increase in the earnings guidance versus going to the high-end of pro forma sales guidance? It sounds like given what's going on in the U.S., maybe it's the U.S. profitability is greater than expected. But could you help me connect the dots on where the profitability beat is coming? 
Ira Lamel: It is the U.S., Andy. It is overachieving what our original expectations were. And combined, even though the winter was warm, Daniels is overachieving what our expectations were. So we're reflecting that in our guidance. We don't expect accretion in the fourth quarter coming from Cully & Sully, so don't count that as a positive on the bottom line. So it is coming from that. And we're getting a little bit, I'm not going to suggest it's big, but a little bit because the mix of our earnings around the world is positive. And therefore, we're getting a little bit better tax rate. 
Irwin Simon: And Andy, Canada is performing well, up double digits. Europe is a little flatter than we would -- than budgeted, but still growing 3%. But North America is where 70% of our sales are, and we're seeing strong growth. And like I said before, we like what we're seeing coming out of Daniels. And with the divestiture of ICL, we'll see margins and opportunities there improve. 
Andrew Wolf: Okay. I wanted to follow up on what I thought was a statement you made. I may have misheard it. Did you say that you're also taking an evaluation of the sandwich business in the U.K. as well? 
Irwin Simon: We're looking at it. I mean, we've got a -- we're looking at the sandwich business as there is branded with Daily Bread. There are other products that are sold into food service. The combination of our sandwich business, our soup business, our juice business, our fruit business, makes a lot of sense. But we have so many opportunities coming at us, and there are so many growth areas. And there's a lot of additional acquisitions being presented to us in the U.K. If we can't get sandwiches moving in the right direction, it doesn't make sense for us to continue there. And that's something we'll evaluate. 
Operator: Your next question comes from the line of Sean Naughton with Piper Jaffray. 
Sean Naughton: Can you guys quantify the benefits, maybe by category, and the pricing mix and productivity that you had to help offset that 5.3% inflation I think you mentioned earlier, Ira? And then just secondly, can you talk about any of your expectations for inflation for the balance of the year? 
Ira Lamel: I'm sorry, did you say inflation that you heard was 9? 
Sean Naughton: It was 5. I'm not sure I heard you correctly. 5.3. 
Ira Lamel: Yes, 5.3. We did get pricing, we probably got a couple of points of pricing consolidated throughout the world. Remember, when we take pricing, it's not on every product throughout our portfolio throughout the world. So there's a blend that takes it down to a couple of points. And I'm not sure I heard the rest of your question there. 
Sean Naughton: Just on the other 2, mix and productivity, I think, were the other 2 portions of the offset . 
Ira Lamel: Yes, productivity took us -- offset inflation by about 35% to 40% of that inflation. And mix helps a little bit, but almost immeasurable. 
Sean Naughton: Got it. So [indiscernible] I think I got it. And then, Irwin, I think you mentioned that you haven't -- you've realized $1 million of synergies with the Daniels acquisition. So how should we think about the potential for synergies once it's fully integrated? And then can you talk about your European operating margins in the quarter? 
Irwin Simon: So in regards to Daniels, the big synergies are coming from procurement and distributions and some people. With Fakenham, we're looking to bringing a lot of additional business in the dessert business there, which will -- a lot more efficiency and bring our margins up in that plant. So we're -- as I've said before, over the next 4 quarters, we're looking for -- and total was about $5 million, $6 million in synergies from the Daniels acquisition. And we should continue to see it over the next 3 to 4 quarters. 
John Carroll: I just want to make one comment about what Irwin said about new business in Fakenham. It's an example of growth synergies that come from acquiring the business in a market that gives us scale. The sales opportunities that are coming into our Fakenham plant are the direct result of having brought on Daniels and their contact base, and our going into customers and showing them what our scale is as opposed to what we were before Daniels. That's a true growth synergy coming from that deal. 
Irwin Simon: And the opportunities, on top of that, is with gluten free, with Snacks, a lot of our Hain products, and that's something else we'll continue to do. In regards to our European margins, Europe being a tough market, and we're looking at things in Europe. We have a business, Grains Noirs, over there that does fresh products. But from our Lima business, our Natumi business, our Hain business there, we've taken pricing and will continue to do. And we think there's continuously opportunity to improve our margins in Europe and to improve our cost structure there, where there's also going to be some synergies in Europe with the U.K. that we never had the opportunity before to do that. 
Operator: [Operator Instructions] Your next question comes from the line of Amit Sharma with BMO Capital Markets. 
Amit Sharma: Ira, can you give us the tax rate for the year? 
Ira Lamel: I'm sorry. Amit, did you say tax rate? 
Amit Sharma: Yes, please. 
Ira Lamel: Yes, well, probably be somewhere in the 34% area. 
Operator: At this time, there are no further questions. 
Irwin Simon: Thank you very much. Thank you, everybody, for participating in today's call. It feels good here to report a record quarter. As I sit back and look, we have tremendous brands. We have many diversified brands. We are in a great growth category with tremendous upside within the category. From a team at Hain, our 4,000 employees around the world, we're all rowing together, we're all moving in the right direction. In regards to our customer base, on our consumer base, eating healthy is not a fad, not a trend. Looking at lower sodium, looking at GMO, looking at gluten free, looking at products with no parabens, no thalides in them. And Personal Care, looking at antibiotic-free chicken, knowing what pink slime is, understanding what nondairy products are, almond milk, rice milk, coconut milk, all these different blends are different snacks today, Terra Chips, Garden of Eatin'. One of our fastest-growing brands, Earth's Best, Celestial Seasonings. So we really have a great diversified portfolio of products, brands that the consumer wants. And it's the consumer that is really focused on eating healthy. In regards to retailers, our growth is among retailers that are growing, not retailers that are declining, and a perfect example is our growth within Whole Foods. And a lot of you have seen the growth that Whole Foods posted yesterday, that shows when consumers go in there, they know they're only getting natural organic products. As a company today, as a young company, we're focused on growing internationally. We think there's a great growth track internationally. I think what happened to a lot of companies, they felt they'd only grow in the U.S. When the U.S. stopped, there was no international market. Not that the U.S. for us, and we're in early innings, I always suggest in the U.S., but I think there is great growth opportunities. And I'm seeing this just with gluten free products today within the U.K. market. I'm seeing this with soup coming over from U.K. coming here. So there is cross-borders where we learn a lot from being in different countries and creating global brands. And the same thing with what we're seeing with our Asia business. So I feel good where Hain is going. I feel very good about what we delivered today. And with 2 months left in our fiscal 2013, it's to -- 2012, sorry, I'm putting a year ahead. It's amazing how quick the year has gone and it's great to see what we've been able to accomplish. So thank you so much for listening today, and we'll speak to you 
 All soon. Thank you. 
Operator: This concludes today's Hain Celestial Third Quarter Fiscal Year 2012 Earnings Conference Call. You may now disconnect.